Operator: Good day, and welcome to the OMA Third Quarter 2017 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Vicsaly Torres, Chief Financial Officer. Please go ahead.
Vicsaly Torres: Good morning. Welcome to OMA’s third quarter 2017 earnings conference call. Joining me this morning are Mauricio Valencia, OMA's Planning Manager; and our Chief Accounting Officer, Jesús Villagómez. This morning I'll briefly review our operational performance and financial results. Then we will be pleased to answer your questions. OMA delivered solid financial results in the third quarter of 2017. The sum of aeronautical and non-aeronautical revenues and adjusted EBITDA each grew 10% and net income grew almost 20%. We ended the quarter with Ps. 2.2 billion in cash. Our performance is consistent. OMA has delivered 31 consecutive quarter of growth in aeronautical and non-aeronautical revenues and 25 quarters of adjusted EBITDA growth. Passenger traffic reached 5.2 million passengers, which is a new record for quarterly passenger traffic. As Airlines increased passenger volumes in Q3 with the largest contribution to growth from VivaAerobus, Delta and United. Nine new routes opened in the quarter and five closed. While total available seats decreased 1.5%. However, the rate of passenger traffic growth is low to 1.3% or a net increase of 66,000 passengers. There are four factors that contribute to the overall evolution of traffic in the quarter. First, there was solid growth on traffic to and from the regional hub airports including Monterrey. The eight routes that contribute most to traffic growth at OMA where all flights through and from regional hubs including routes like Monterrey-Cancun and Culiacan-Guadalajara. Growth on new routes opened in 2017 and on existent routes contributes on increase of approximately 320,000 passengers compared to 3Q 2016. About 25% of this increase came from new routes and the balance from existing routes. Second, airline route consolidation has been going on all year. And it accelerated with the newest lot restriction at the Mexico cities international airport starting in April, but with significant effect since July. The result was reduction of frequencies and cancellation of some routes. This affected most of the routes between our airports and Mexico City, particularly from the smaller airports. We estimate frequency reductions and route cancellation reduced traffic by approximately 157,000 passengers. Third, the retirement by Aeroméxico of its ERJ145 fleet resulted in cancellation of 19 routes in the early part of 2017. This reduced third quarter traffic by an estimated 88,000 passengers. And finally, the two earthquakes in September plus the forced hurricane group travel to Mexico City, Houston, Miami and several other destinations. It also temporarily affected operations in the Acapulco and Tampico airport. This natural disaster reduced traffic by an estimate 8,000 passengers. OMA expects that these factors aside from the natural disasters will continue to influence traffic volume for the rest of the year. On the positive side, we're expecting to increase the number of new routes in the current quarter, as a results of our initiative to increase connectivity. We have been working with various airlines on 12 potential new routes. As of today, eight of these have been confirmed and will open before year-end. This new routes will help us to offset the negative factors. On the commercial front, we had 17 initiatives open in the quarter including communications, restaurants, advertising, car rental, retail, and a new OMA premium lounge in Chihuahua. OMA continues developing our premium strategy with more lounge opening. Last week, we also open a new premium lounge in Terminal C of the Monterrey airport. OMA now has five premium lounges in four airports, Monterrey, Culiacan, Mazatlán and Chihuahua. And we expect to open more in the coming quarters. 93% of our current fliers are priority pass members and the rest are passengers who have acquired an annual OMA premium lounge membership or pay the daily rate. Also we're focused on improving and increasing the restaurant and retail offerings in all of our airports. We have added recognized brands such as Chile [indiscernible]. The commercial occupancy rate was 98% during the quarter. Diversification activities delivered a solid performance with revenue grow of 9%. The NH Collection Terminal 2 Hotel in Mexico City had an occupancy rate of 83%, which includes the effect of the temporary closing after the earthquake. The average room rate increased 1%. The Monterrey Airport Hilton Garden Inn occupancy rate was 77% and the average room rate of Ps. 1,915 was 5% below 3Q 2016 due to the Mexican peso appreciation. OMA Carga continues double-digit growth, largely because of service of ground cargo and the opening of the new freight terminal in Monterrey earlier in the year. The total volume of freight handled increased by 16% in Q3. At the Monterrey industrial park, we signed a lease for the third warehouse, so it will start generating revenues during 4Q 2017. This new contract is for 3.5-year and its total value is for $932,000. The fourth warehouse is in the commercialization phase. We also began construction of our fifth 5,000 square meters warehouse that will be completed in 1Q 2018 and are expanding the second warehouse at the clients request. Turning to OMA’s third quarter financial results. OMA converted these positive operational developments into 10% revenue growth, 9% growth in operating income and 10% growth in adjusted EBITDA. Net income increased 19%. Aeronautical revenues increased 10% because of higher passenger volumes and a specific rate adjustment in the second quarter of the year, most of the growth came from domestic passenger charges. Higher rates for international passenger charges were partially offset by the appreciation of the peso during Q3. Aeronautical revenue per passenger rose 9%. Non-aeronautical revenues also rose 9% with commercial revenues making their largest contribution to growth. Commercial revenues increased 10%. The best performing areas were restaurants, car rental and retailers, each with double-digit growth rates. The increases were principally the result of new openings in each line over the past 12 months. Advertising revenues also grew 7%, as the new digital fixtures are put into service and made a solid contribution through the total increase in commercial revenues. Diversification activities grew 9%, mainly from growth in the OMA Carga freight logistic business, the hotel and an additional contribution from the industrial park, which more than doubled revenues year-over-year. Complementary services grew 5%, mainly because of new leases especially to airlines and the revenues coming from the baggage screening services. Non-aeronautical revenues per passenger grew 7%, and reached Ps. 70.8 per passenger. The cost of airport services and G&A expense increased 5%. The variation resulted from increased payroll, minor maintenance and our utilities expense, which were partially offset by decreases in contracted services and insurance premiums. Because of our high investment commitment on the Master Development Programs in the current five-year period, 2016-2020, the major maintenance provision increased and the construction costs line item more than tripled, both our non-cash expenses. The construction cost recognition is required by IFRIC 12 and is equal to construction revenue, so it has no effect on earnings. OMA’s third quarter adjusted EBITDA increased 10% to Ps. 1,023 million. The adjusted EBITDA margin in the quarter was 66.8% on change from the prior year. Financing expense decreased in Q3 as a result of a smaller exchange loss, while tax expenses rose only 2%.The effective tax rate was 27%. As a result of these factors consolidated net income rose 19% to Ps. 580 million in the third quarter. Our cash flow generation from operation was also strong. Total cash from operating activities rose 45% to Ps. 2.3 billion. This reflects the operating performance, plus the reduction in accounts receivables. Receivables were equal to 37 days’ revenues at the end of September. For the quarter, our total investments were Ps. 450 million. We have contracted 84% of the scheduled MDP projects for 2017. The most important MDP projects underway include: new passenger terminal building in Acapulco and Reynosa; expansion and remodeling of the Chihuahua and San Luis Potosí terminal buildings; construction of our remote commercial aviation platform in Monterrey; and expansion of the regional flight boarding area at terminal B in Monterrey. Overall, including all order MDP investment under 4B terminal projects. Our MDP program is advancing in line with our expectations. This concludes our prepared remarks. We will now be happy to answer your questions. Operator, please open the call for questions.
Operator: Thank you, ma’am. [Operator Instructions] We will go first to Natalia Zamora of GBM.
Natalia Zamora: Hi, good morning. Thank you for the call. I have two questions. The first one is regarding the maximum tariffs. I would like to know, if you’re expecting it to rise during the rest of the year? And could you provide an estimate of how it would look like by year end in terms of the once allowed by the SEC. And my second question is about the cancellation of routes. Do you have an estimation of how many net reductions could we expect for the fourth quarter? Thank you.
Vicsaly Torres: Thank you, Natalia. Thank you for your questions. Regarding maximum tariff, maximum tariff we were negotiating in 2015 for the five-year period 2016 to 2020. The maximum tariff only are adjusted year-by-year by the efficiency factor and for the inflation. The time that we adjust year-by-year has a specific tariff for there in all the conservatives. The objective is with this adjustment in the specific tariff to reach the maximum tariff negotiated for each airport. That is my answer. I don’t know if your question is if we are considering more increases in specific tariff during the next year. The answer is yes. As I said before our objective is to reach a 100% of the maximum tariff in each airport during the following year before the five-year period ends. And I’m sorry.
Natalia Zamora: If I recall correctly, in 2016 the maximum tariff reached about 93.7% of the allowed [indiscernible]. Do you have an estimate of that number, how it could look for 2017?
Vicsaly Torres: Yes. Our – especially for this percentage is around 95% of the maximum tariff in average for all of our airports, between 94% and 95%.
Natalia Zamora: Okay. That’s it. Thank you.
Vicsaly Torres: You’re welcome. And regarding your second question about the cancellation rules. During this nine months of the year, we had a several cancellation of routes, due to different factors, as I mentioned in my remarks. The lot of restriction in the Mexico City airport is affecting us. Also, I know Mexico is changing their Embraer 145 fleet to bigger aircraft. And that effect affect mostly our smaller airport. But in the next quarter we are negotiating with airlines and trying upset these effect with more openings. We have 12 potential new routes for next quarter. Some of these routes are very important for us, because some are international routes, for example, Zihuatanejo, Chicago, Acapulco, San Luis. So we are positive in the situation that we can offset the negative effect for closing routes during the past quarter, in this fourth quarter. And at the end the traffic evolution reach positive.
Natalia Zamora: Okay. Okay, perfect. So it would be net addition of group?
Vicsaly Torres: No. I think in last quarter we mentioned at the end we will have a negative net growth in more cancellation then open.
Natalia Zamora: Okay.
Vicsaly Torres: But with a positive capital evolution.
Natalia Zamora: Okay, got it. Thank you.
Vicsaly Torres: You’re welcome. Natalia.
Natalia Zamora: Thank you very much.
Operator: We will go next to Francisco Rodríguez of GBM [ph].
Unidentified Analyst: Good morning Vicsaly. Thank you. I mentioned it on your accounts receivables, especially on the aeronautical receivables. Is there any trend that you could give us a general overview of your policies and what have you seen, the way you are charging airline, the way you are providing credit changing in the recent past? Thank you.
Vicsaly Torres: Thank you, Francisco. Yes, we have been able to reduce our receivables, this situation last year – linked with the receivables last year, but this year we have done a very good job. In terms of our policy we have credits for the main airlines excluding Interjet, Interjet is in repayment situation, the rest of the airlines Aeroméxico, Volaris, VivaAerobus has credit, our policy is 60 days maximum and now we have a very healthy receivables, we don’t see any problem or difficult situation to recover its receivables.
Unidentified Analyst: Okay. Thank you very much.
Vicsaly Torres: You’re welcome, Francisco.
Operator: We’ll go next to Marco Montañez of Vector.
Marco Montañez: Good morning Vicsaly, congratulations on the results and thank you for the call. My question is about committed investments for the period 2016 and into 2020. They must have develop a plan establishes around Ps. 5 billion for this period. What investment revised last year amounted around Ps. 5 million, if I’m correct, do you have any forecast for the investments to utilize in this year and the next year in order to fulfill the 5 billion plan? Thank you.
Vicsaly Torres: You’re welcome, Marco. Yes, you know this three first years of the five year period is a very high year in terms of investments, as you said 1.5 billion was recommending for 2016 and similar amount for 2017 and we are very positive to comply with this project. At this moment, we are in 84% contracted the project of 2017, 100% of the projects of 2016 our contracting is within under construction, the same as 2017 they differentiate in terms of cash flow, as we pay based on the process, the advancing process of the construction, the payments is delaying. This year we are paying projects of 2016, next year we will pay a project of 2017 but at the end we will comply with our commitment in the period. As you know we have three months after the year end to prove to the government that we have contracted all the project that we are committed.
Marco Montañez: Okay. Thank you so much.
Vicsaly Torres: You’re welcome.
Operator: [Operator Instructions] We’ll go next to Stephen Trent of Citi.
Stephen Trent: My question just two from me, if I may, Vicsaly. The first is helpful commentary about the reduced frequencies at Benito Juárez as international airport. Have you seen any of this flow getting rerouted to look up for example so that’s something for instance that the SETA had hinted that had wanted to do and just wondering if you are seeing any spillover into that airport?
Vicsaly Torres: Thank you, Stephen. In third quarter and in the fourth quarter, we will see the negative effect for this large restriction in Mexico City airport. But in the following months or quarters, we think that we will see the effect that you are saying a more frequencies or new routes from Toluca basically because is one of the airport that makes sense for passengers to take a flight. But at this moment, we are not seeing that effect. We’re seeing that effect – we will see that effect in the following months when the airlines they reach with their routes. They know about what – how many aircrafts they are going to have available and then they try to swap in routes from Toluca for example.
Stephen Trent: Okay, very helpful. And just the second question, I think you’ve mentioned something about receivables associated with Interjet and I was wondering if I could trouble you to just repeat what you said I only thought part of the comment?
Vicsaly Torres: Okay. Yes, in terms of Interjet, Interjet is in a prepayment system. We – Interjet has no credit with us at this moment.
Stephen Trent: Okay, that’s perfect. That’s all I had. Thanks Vicsaly.
Vicsaly Torres: You’re welcome Stephen.
Operator: We’ll go next to Ricardo Alves of Morgan Stanley.
Ricardo Alves: Thank you everyone. Vicsaly just a very quick one from me on the industrial park, I know it’s still pretty small, but it’s been increasing quite fast. The EBITDA was relatively stable for the past few quarters, but EE dropped a little bit in the third quarter. So just wondering what kind of – what could explain volatility in this business just to think about the forecast on a going forward basis? And also seems you might have four to five over the next 12, 18 months should we be thinking about EBITDA going up to the Ps. 20 million level already by the end of 2018 or on an annualized basis? That’s all from me. Thank you.
Vicsaly Torres: Thank you, Ricardo. Yes, as you said the industrial project now is a small business for us. The volatility is for – we are adding a – we need to have some more cost when new areas are opening. Now we have more warehouse lease. As I mentioned in my remarks we already signed the third contract, its a contract for three years and six months. And for this reason also we decide to invest in another warehouse. So now we are under construction phase for the fifth warehouse. We have three contract list and we will have two warehouses ready to be leased. And in terms of the resource of this company as we opening new areas the cost increased. But it’s very mutual, the results at the end we – our estimate is that this business mature little by little and getting better results.
Ricardo Alves: Thank you very much.
Vicsaly Torres: You’re welcome Ricardo.
Operator: At this time, we have no further questions. I would like to turn the call back over to our speaker for any additional or closing comments.
Vicsaly Torres: On behalf of OMA, I want to thank all of you again for your participation in this call. We’re always available to answer your questions and we hope to see you soon at our offices in Monterrey. Thank you and have a good day.
Operator: That does conclude our conference for today. We thank you for your participation.